Operator: Another great Gold Royalty town hall forum. Thanks for tuning in today from wherever you are. That's the great thing about these town hall forums. You can join in from wherever you are in the world and have direct access to management. And of course, here with us today, we welcome David Garofalo, Chairman and CEO; and John Griffith, Chief Development Officer.  Welcome, gentlemen. It's great to see you again and know that your shareholders appreciate the direct communication. After their presentation, we'll have a moderated Q&A session. [Operator Instructions]. David and John will now provide you with an update. Gentlemen, over to you.
David Garofalo: Thanks, Joanne. Good morning, everybody. I'm delighted you're able to join us to talk about our fiscal third quarter results, which were a record, by the way, and we'll get into a bit more detail a little later on in the presentation.  So record revenues and a very catalyst-rich quarter as you can imagine, with 700,000 meters of drilling or the equivalent of about $300 million of exploration being invested in our various properties. We have a lot of exploration news to share a lot of growth in reserves and resources on the horizon, which will only enhance the value of our royalty portfolio.  Before I get into that, though, I thought what I would do is just point out our disclaimer. We are making forward-looking statements at your leisure. Please visit our website where this presentation is posted if you'd like to read this disclaimer in a bit more detail.  Before I get into the presentation and talk about our results, what I thought I'd do is talk about the macro environment is my custom as we make these presentations on a quarterly basis. And I was looking for a unique perspective on the gold price and the macro variables that drive that. And I got that yesterday reading a newsletter from Brian London, one of our supporters shareholders and somebody have frequently interviewed with, if you watch his YouTube channel. And what he discussed was the debt service cost the U.S. government is facing which for me only emphasizes the need for the Federal Reserve to pivot in the short-term and start to lower at least stabilize interest rates. And what he pointed out is in this very short tightening period that we've already experienced with interest rates going up on a nominal basis.  Debt service costs in the U.S. have more than doubled to about $1 trillion per annum. And these are still relatively low nominal rates. And that represents more than $1 out of $7 in the U.S. government budget. So you can imagine with a small tightening in interest rates, what that could do to debt service costs and that's the biggest economy in the world. So if it's putting back on thin ice, you can imagine what's happening in the developing world in smaller economies around the world as interest rates start to go up on a nominal basis and debt service costs go up exorbitantly in a greater and greater proportion of government revenues get devoted to servicing those costs.  And to greater emphasize what active due to the economy, debt as a percentage of GDP is over 325% globally right now. That's more than 3x what it was in the last big inflation cycle back in the 1970s. So there was a lot more latitude for the several banks back in the 1970s to raise nominal rates. And in fact, nominal rates went up to almost 20% at the time well in excess of what inflation was, which was double digit back in 1970's there certainly isn't that kind of scope for the Federal Reserve or central banks generally to raise interest rates dramatically, certainly not in excess of inflation to tame inflation.  So what I think will happen in the short term, and which emphasizes our call on gold is we do see the Federal Reserves and central banks globally starting to slow their tightening cycle, and in fact, probably reverse course and that will only exasperate the inflationary cycle that we're experiencing. So we're likely to be in there for longer in terms of inflation. It's going to be higher than what the headline numbers have been recently. And that's deeply constructed for the gold price and likely to result in gold price achieving all-time highs well in access $3000 so we experienced in today's dollars back in early 1980. So we're not even close to where the cyclical high in real terms is for gold.  And we're not nearly near the cyclical hyperinflation that we're likely to experience given the limited latitude that central banks have globally to raise interest rates. And as I'll talk about a little later on, the best place to be to play that gold bull cycle is in the royalty and streaming business. And in this inflationary environment, where mining companies, frankly, are not immune from cost inflation, and we've seen a steady grade of mining companies report enhance costs, reguiding their costs multiple times this year upwards as a result of inflation. That only emphasizes the pressure that puts on their margins while royalty and streaming companies provide that insulation from cost inflation is our exposure is entirely to the top line.  So we get optimum exposure to the gold price, while protecting you, our shareholders from cost inflation in the industry generally. And the great and unique part of our story is we have sector-leading growth of revenues, and that was only emphasized with our record revenues in the last quarter and likely to achieve 60% component average growth over the next several years as a number of our assets come into production. We have 8 producing currently, another 20 in various stages of development, construction, which underpins with already sector-leading revenue growth. Beyond that 5-year horizon, we have a number of very large chunky assets coming into production, including the Odyssey underground extension of Canadian Malartic, the largest producing gold mine in Canada.  And what we offer is diversification, which no producing company can hope to offer to the degree we can. We have 198 royalties. That number continues to grow when we last spoke with several royalties smaller than that. We were about 195. So we continue to add a very accretive and cost-effective basis, additional royalties as we generate our own royalties internally and we continue to look for new opportunities to acquire royalties in the sector. That kind of diversification simply doesn't exist in operating companies. Even the biggest mine operating companies in the world can't hope to operate more than 12 to 15 mines across their entire portfolio. So there's a lack of diversification in those assets. If there's a problem in any one of their individual operating assets, that's likely to impact their share price quite negatively.  So we do offer diversification. We offer that top line exposure. We offer insulation from cost inflation. And we also offer exploration for which we pay nothing. Our operating partners are investing $200 million this year and 700,000 meters of exploration drilling in and around their existing deposits. That means that their reserves are likely to grow, and we're going to enjoy that upside entirely without exposing our shareholders to those exploration expenditures. There are companies out there in the royalty space. They're in a bit of a hybrid they provide royalties, but they also invest money in the ground and exploration. We think that completely undermines the value proposition of a royalty company. If they're spending money on exploration, then they're exposing their shareholders the cost inflation, which exploration companies are facing in this inflationary environment.  And we don't do that. We do have state exploration claims, but before any dollars are required to be invested on the ground, we farm those properties out to the explorers, the developers, the offers and we take a royalty back. So we never invest any meaningful capital in the ground. We allow our operating partners to do that and again, insulate our shareholders from that kind of cost exposure and the risk that exploration brings to the table. We don't expose our shareholders to that type of risk both financially and technically.  We still have a strong balance sheet, a strong trading liquidity, $17 million of cash and marketable securities. We have a $25 million credit facility, including a $15 million accordion with Bank of Montreal as our cash flow gets enhanced, we'll have increasing access to that whole facility and watch this space, we'll likely to extend the maturity of that facility would be where we're actively negotiating that right now beyond its maturity next year. And we talked time and again about our management team and board and what it brings to the table with collectively over 400 years of experience in our management board, largely in the operations and development of mines we offer a unique value proposition.  We understand our operators and developers think because we've been them. We've been in their shoes and we're able to appropriately price the risk underlying the assets they're trying to develop so that we can appropriately price we'll pay for these royalties and not expose our shareholders unduly to the risk associated with development and operations. Let's talk a little bit about the inflation cycle I touched on this a little earlier on in the presentation. And as you can see, interest rates continue to dive deeper and deeper into negative territory on a real basis. So yes, nominal rates are going up the Central Bank on a monthly basis is raising the nominal interest rate, but inflation continues to accelerate and real rates, as you can see in the bottom line chart continues to go deeper and deeper into negative territory. And as I said, given that the Federal Reserve and other central banks globally are likely to pivot and reduce nominal interest rates so they don't overwhelm their governments with debt service costs, we're likely to see that really interest rate number go deeper and deeper into negative territory.  And the gold price hasn't nearly responded as it has in past cycles when real interest rates have gone down. If you look back at the big last inflation cycle several decades ago, we saw the gold price go up 300% to 400% even coming out of the credit crisis, when interest rates were going down both on a nominal and real basis, we saw similar upward trajectories in the gold price. We haven't even come close to achieving previous cyclical increases in the gold price that we've experienced in the last cycles of declining real interest rates. So we're a long way away from cyclical highs from gold. We're likely to be in a prolonged bull cycle given the need for Central Banks to continue to drive down interest rates in order to maintain reasonable debt service costs, which will only again accelerate inflation and drive up the value, the intrinsic value of gold, which is the one currency you can't print.  And we've seen what inflation has done to our economy with goods up about 16%; transportation, warehousing, up 21%; energy up 36%, 37%. That will continue to accelerate and Gold it provides U.S. haven against that type of inflationary cycle because of its very finite quantity, it's scarcity in contrast to some of the other currencies we've seen which continued to be increase in volume, both in terms of cryptocurrencies in terms of government fiat currencies, we're seeing continued increases in supply of those whereas gold is becoming increasingly difficult to mine. Supply is going up less and less every year and reserves are down 40% from their peak that we saw back in 2012. Royalty companies, again, provide that unique value proposition and that we expose you to the top line. In other words, we take a percentage of the revenue. But we don't expose our shareholders operating and capital cost inflation, and we do it with a very small head count. We have 7 full-time equivalent employees contrast back to Barrick with over 20,000 employees, Newmont over 14,000 employees, [indiscernible] over 11,000 employees. So we have a very scalable model, and I have every confidence we could run our business with the same set of employees, even if we were 10x the size, and we have 1,000 royalties. We don't need any additional people on stop in order to do that. When we acquire subject matter expertise we contracted out when we're doing due diligence on opportunities. And so those costs are transitory and not permanent part of our cost structure. That means as revenue grows, we have a better and better prospect to provide higher and higher dividends. And we paid over a 1% yield at current share prices.  And given that revenue growth that we're forecasting over the next several years, I have every confidence, given the fact that we're insulating our shareholders from operating capital cost inflation that our net will increase and our ability to pay dividends will increase over time. And you can see what that's translated to in terms of historical performance for royalty and streaming companies in the sector. And this is over ups and downs in the cycle because it's a low-risk way to play the gold cycle. It provides you, again, that optimum upside, optimum leverage to the gold price, while completely protecting you from cost inflation, both in operating and capital costs. And that's really the value proposition of royalty companies generally.  And coming out of the big increase in gold price in the last cycle coming out of the credit crisis, when it went up almost 140% we saw producers vastly the commodity because of the inflation we saw input costs coming out of the credit cycle. And I think we're in a similar phenomenon right now. We're likely to experience that again among the producers, and we have been experiencing that as recent quarterly results have demonstrated for the mining producers globally. But we saw streaming and royalty companies not only significantly outperform the producers, but we saw that royalty and streaming companies outperformed the commodity several fold times over. And that's the -- again, the value proposition of investing in a royalty and streaming company, particularly in an inflationary environment that we're experiencing currently.  And the value proposition in Gold Royalty, I think, is immense one, we've been rapidly achieving scale through our consolidation efforts in the sector. We've grown from 14 to nearly 200 royalties from our IPO 1.5 years ago to today. So we are achieving that scale, but we're still significantly discounted relative to our peers. I can assure you that we will make every effort to continue to scale and increase our relevance to institutional investors. And we think that ultimately will realize a significant re-rate in our multiple. Typically, the big guys in the space, whether it's Franco, Wheaton or Royal Gold typically traded to the 3x the underlying net asset value of their business, that's the re-rate potential as we are trading currently by consensus estimates at about 0.5x our net asset value.  So as we achieve that scale, that diversification, as we realize the growth in our revenues over the coming years, we're likely to achieve a rerate over time that we hope will match what the seniors in the space will achieve through the growth in our revenue, through the growth and the scale of our business, the growth of our royalty and diversification of our royalty portfolio. And that's the opportunity, the value opportunity that we see in [indiscernible] Gold Royalty and we're paying you to wait with over a 1% dividend yield, we're paying you to wait for that rerate. And that's a rerate that's unlikely to be achieved among the large-cap companies. That's the value of owning a smaller cap company and rapidly growing smaller cap companies like Gold Royalty relative to owning the larger streaming royalty companies that really do not have the potential to achieve a rerate as they're already priced at a premium in the marketplace.  And as I said, we've been rapidly going about achieving that scale. We've been the consolidator of choice in the space -- we absorbed last year, Ely Gold, Abitibi Royalties and Golden Valley. And then we finance the construction of the Beaufor Mine with Monarch in partnership with them. We acquired a royalty on Cote which is IAMGOLD's newest gold mine, which we'll be producing in 2024 and will become Canada's second biggest producing gold mine -- so within Gold Royalties portfolio, we have exposure to the biggest producing gold mine in Canada in Canadian Malartic, the second biggest gold mine in Canada and Cote and the underground extension of Goldstrike REN which is the U.S.'s biggest producing gold mine So this is not just about quantity of royalties.  Yes, we have significant diversification, 198 royalties, but it's also about the quality of our portfolio we have multi-decade foundational assets in Canadian Malartic, in Cote and in REN, the underground extension of Goldstrike what will provide a meaningful annuity for our shareholders for many decades to come. So it's about diversification quantity, but also quality with big chunky assets to provide us a meaningful source of revenue and revenue growth over many, many years to come, which underpins our ability, we hope to increase our dividend over time.  Just briefly touching on the quarter. We achieved record quarterly revenue of $1.9 million, $3.1 million for the 9 months. That compares to 0 last year, as you'll recall, when we did our IPO, we had 14 development-stage royalties through our consolidation efforts through the financing of Beaufor, Cote we've been able to enhance our revenue and introduce a dimension of revenue that we didn't have at our IPO, and it's a rapidly growing revenue profile expected to achieve about 50% compounded annual growth over the next several years. That underpins that dividend and underpins the potential for that dividend to grow over time.  And as I said, we ended the quarter a little over $17 million of cash and marketable securities with an accordion available to us at $15 million of certain conditions, which will further enhance our liquidity and our ability to access capital as we look at more and more royalty opportunities to continue to enhance the diversification of quantity and quality of our portfolio.  With that, I think I'll hand it over to John to talk through some of the specifics in our portfolio, and I'd be delighted to take questions at the end of the presentation. Thank you so much for your attention this morning. John?
Unidentified Company Representative: Thanks Dave. As David mentioned, our expected revenue growth over the next 3 years is approximately 60% on a compound annual growth rate basis -- and this is all based on analyst consensus estimates. We're currently 8 producing royalties, and we forecast this figure will increase to 12 producing royalties by 2025. The additional royalties that we anticipate coming online would be the Odyssey project, Cote, South Railroad and Gold Rock. And beyond 2025, we expect significant further growth as additional key development assets come online.  The ramp-up of Odyssey, coupled with the anticipated development of world-class assets such as REN and Fenelon, will further fuel our revenue growth into the back half of the decade. If we take a look at some of our key royalties, Odyssey, Cote and REN represent cornerstone development assets within the portfolio. But not only will underpin our revenue growth in the near-term, but also provide longevity in our portfolio. These are generational assets that will provide cash flow to Gold Royalty and our stakeholders for decades.  Turning to the Odyssey project, over which we have a 3% NSR royalty. On July 7th Yamana disclosed that permitting on the project remains on schedule, while construction is on track and on budget with first production from Odyssey South expected in the first quarter of 2023. On July 27, Yamana also announced positive exploration results from the Odyssey project, which it expects could significantly expand the projects inferred resource envelope.  Turning to the Cote Gold project on which we own a 0.75% NSR, IAMGOLD announced a project update on August 3, including updated costs to complete project economics and life of mine plan to be included in a new technical report for the Cote Gold project. The updated mine plan outlined an 18-year mine life with initial production expected in early 2024, and average annual production of 365,000 ounces over the life of mine with an average all-in sustaining costs of $854 per ounce of gold sold. Costs to complete increased to just over $1.9 billion. However, Gold Royalty as an NSR holder, is insulated from this cost escalation or inflation. Turning to REN, where we have both a 1.5% NSR and a 3.5% NPI, Barrick announced on August 8, that resources of REN are expected to grow in 2022 as the project advances towards feasibility.  Western side drilling of the new 1.5 kilometer Corona Corridor shows continuity of the mineralization 250 meters from infrastructure. Mineralization remains open at both JV and Corona Corridors. And we remain excited at the prospect of what REN will do to contribute to the future of the Goldstrike mine.  We have some exciting updates this quarter, which include the commencement of production and the first gold pool at Beaufor, we previously financed Monarch Mining in mid-2021 and again in March this year, in support of the planned restart of the Beaufor mine and Beacon Mill. It's enormously gratifying to see the success made by Monarch, and we have confidence in their operating team to ramp up production at Beaufor. We would add that the recent exploration success outlines the future upside in the project. Another key update is the confirmation of royalty payments from the Borden Mine. Borden is a cutting-edge mine operated by Newmont as part of the larger Porcupine complex. Borden has produced over 100,000 ounces a year the past 2 years and current mine life extends to 2027. Beyond our key developments and producing assets, the exploration upside in our portfolio is incredibly exciting but we also feel vastly underappreciated. Across our nearly 200 assets, as Dave mentioned, we expect over 700,000 meters of drilling to be completed on our portfolio in 2022. This will provide significant catalysts for our portfolio in the years ahead, and all this exploration investment, which is the equivalent of roughly USD 200 million comes at no cost to Gold Royalty. Beyond the significant exploration upside, this map highlights just how robust our geopolitical profile is with the vast majority of our assets located in some of the very best mining jurisdictions in the world.  In summary, we had another stronger quarter as our company continues to grow. The fundamentals for gold are strong, and the royalty and streaming model has historically been the best way to gain exposure to rising gold price. Our portfolio is focused on world-class assets. Our revenue growth is peer leading, and the exploration investment by our operating partners will continue to fuel strong growth through the back end of this decade and beyond.  Our balance sheet is healthy, and our team continues to assess multiple opportunities to accretively grow the portfolio. And with that, I'd like to thank everyone for their time, and we'd be very happy to take questions.
Operator: Hello, gentlemen. Thank you very much for that update. That was really great. So we're going to move to the Q&A portion. [Operator Instructions]. So we've got some really great questions lined up. The first one is, can you comment on the consolidation taking place now in the royalty space? Do you see Gold Royalty continuing to acquire other such companies?
David Garofalo: John, why don't you handle that one?
Unidentified Company Representative: Yes, great question. I think we'd start off by saying, we obviously feel like we kicked over the ants nest with consolidation, having acquired three companies last year, and it's gratifying to see that others are following suit. There are a lot of companies competing for assets, competing for capital, and we think that consolidation is the right way to really achieve the scale that Dave was talking about to attract the right kind of investors and to see that accreting multiple.  And certainly, I think we would take our hat off to some of the transactions that have been done. I think it's almost a sign of flattery that others are following suit. But I also would say that we never felt that we had a complete monopoly on consolidation. Having said that, I think some of the transactions that have taken place have been to really address some structural challenges in some of our peer group companies, reducing operating risk as an example, and up portfolios. But the short answer is, yes, we see more consolidation. And absolutely, we will be -- we will continue to pursue accretive opportunities when they present themselves to continue to grow our portfolio.
Operator: Excellent. Here's another M&A question. But more specific, with an increase in the M&A sector is Gold Royalty still looking to acquire another royalty company, in particular, would , which is primarily focused in the Americas be an attractive target, particularly with their assets in, I believe, it's Ermitano in Mexico and Silicon in Nevada.
Unidentified Company Representative: Joanne, what I would say is we would never comment on any specific company or opportunity. And I think the best way to really frame the answer to that question is to emphasize again the multiple prongs of our M&A strategy, our growth strategy. We start off with the ability to generate royalties organically, and we've continued to grow the portfolio in that manner.  We also look to acquire or write new royalties to provide capital to facilitate either growth or the reopening of a mine, for example, with Monarch Mining, I think Beaufor is a great example of that type of transaction.  The next element is acquiring existing assets that have -- are currently owned by third parties. Our royalty on Cote Lake is an example of that. And certainly, there are plenty of opportunities that we're seeing.  And then finally, we continue to look at consolidation. If I reference back to the first question, we certainly see more -- more corporate consolidation on the horizon, whether it be Gold Royalty participating or some of our peers.
Operator: Thank you, John. Next question is, when do you think your royalty stream acquisitions will level off relative to your cash flow, thereby enabling you to pay a more significant dividend.
David Garofalo: Look, I would say that over 1% yield, we're up there near the top of the heap in terms of return of capital to the shareholders. But given the growth that we have in our revenue profile over the next 5 years at about 60% and annual compounded growth projected. That gives us a lot of latitude to increase the dividend over time. But really given that our cost base is actually quite fixed.  As I said, we have 7 full-time equivalent employees. I have every confidence we could run a business much larger than what we have today with the same complement of employees. And that means that every incremental revenue essentially goes to the bottom line and gives us greater potential to pay a dividend over time.
Operator: Thank you, David. What is Gold Royalty doing from an ESG standpoint? Is this something the company is focused on?
David Garofalo: Yes. I can touch on this. We actually just hired ahead of ESG , who joined us from Deloitte, where she was one of the senior partners in the ESG practice there, and she will be working towards filing and publishing our first ESG report over the course of the next year. So we're well equipped in that regard. We're very, very diligent in terms of our ESG criteria for any new investment we make in royalty opportunities. We passed on multiple opportunities because of what we felt were not market or definitely not to standard ESG practices by some of the operators of the projects we look at.  So we're quite scrupulous in terms of what we invest in, but now we have equipped ourselves from a doing resource standpoint to provide that ESG expertise internally and to report back to shareholders on our progress on ESG principles.
Operator: Thank you, David. Another question. With the recent approvals of the USD 250 million and $50 million prospectus filings, can you comment on the quantity of deal flow we have investigated since Elemental and have we come close to any successful negotiations.
David Garofalo: Yes. Look, we're -- as John said, we're in a perpetual state of due diligence on royalty opportunities. We're perpetually in a state of generating our own royalties internally. We have Jerry Baughman in Nevada, Glenn Mullan in Canada, continually staking exploration claims in those districts and generating royalty opportunities organically and effectively cost free internally.  And I would say those filings that we made are not indicative necessarily of what's coming down the pipe. It's meant to provide us an efficient avenue for us to raise capital when we do find opportunities to invest in.
Operator: Thank you, David. Here is another question, which I believe you touched on a little bit in your presentation. Other than the strong U.S. dollar, what do you believe is holding the gold price back despite bullish macro gold factors such as increasing negative real rates, increased global tensions and unprecedented levels of debt at all levels.
David Garofalo: Yes, there has been a flight to the U.S. dollar, and that's an interesting point because if you look at the gold price in other currency terms, whether it's the euro, the Australian dollar or other major currencies, gold has actually achieved all-time highs in all those other currencies.  So gold is reflecting the macroeconomic environment that we are facing right now in terms of high inflation, low real interest rates in other currencies. It's inevitable that it will do the same in U.S. dollar terms because as I said earlier on, U.S. government, in particular, is facing extrapolating increases in debt service costs as we've seen a doubling recently on very small increases in nominal interest rates and debt service costs to the point where $1 out of every $7 of U.S. government's budget is going towards debt service. And that's likely to dwarf all other expenditures in the near-term as the Federal Reserve pursues a tightening in nominal interest rates in the short-term. Inevitably, they'll have to pivot. And I think what will happen is you'll see a breakdown in the U.S. dollar because there's no incentive to own the U.S. dollar in the face of declining yields. And certainly, we're seeing declining yields on a real basis, which means that inflation, which is quite insidious, is eating a way of capital if you own treasuries, and you're earning 3% or 4% on treasuries, well, inflation is 10%. Your capital is shrinking every day that you own a treasury bond. So that's likely to result in a flight away from fiat currencies generally, including the U.S. dollar back into the ultimate currency growth.
Operator: Thank you, David. Why did Gold Royalty file an ATM? Are you going to dilute shareholders.
David Garofalo: Quite the opposite. We've actually been paying capital to shareholders. 10 months after our IPO, we introduced the dividend and we started to return capital because of the significant increase in revenue that we're experiencing and likely to continue to experience going forward, given the 8 mines that we have in production and another 20 in development. And that ATM and that shelf is designed to provide a very cost-efficient way to raise capital when we have an acquisition opportunity that's accretive to shareholders. We otherwise won't use those facilities.  It's much more cost effective to do it that way if we have an acquisition opportunity than see raising capital through a bought deal where you're paying 4% to 5% to the underwriters with an ATM, you're paying typically under 2%, if you need to raise capital for an acquisition opportunity. We currently have no intention to use either the shelf or the ATM unless and if we have an acquisition opportunity that's meaningful enough for us to tap into the markets and only if it's accretive for our shareholders.
Operator: Thank you, David. I know you touched on the IAMGOLD Cote project in your presentation. Therefore, the question is, IAMGOLD outline significant capital cost increases at Cote, how does that impact Gold Royalties NSR on the project?
David Garofalo: Well, in fact, it doesn't. And that's the beauty of the royalty model is we are paid a percentage of the revenue and the costs are absorbed by the operator. And so IAMGOLD is going to have the find other sources of capital for the increases in capital expenditures. And again, the royalty model provides you that installation. That's why typically royalty companies and streaming companies significantly outperform their producer peers in an inflationary environment because the producers have to absorb those costs, the royalty streaming companies are completely insulated for most costs.
Operator: Thank you, David. Clean energy, critical metals, really hot sector right now. Would you see Gold Royalty enter that royalty sector?
David Garofalo: John?
Unidentified Company Representative: I think it is certainly an area of interest to the market. I think our goal is to provide our investors with exposure to precious metals and in particular, a focus on gold. There's no doubt that you're right, the person asking the question that the greening of the global economy is an important dynamic but that's not an industry that we're going to participate in and It's not where our expertise lies. And I think our name Gold Royalty belies our strategy fundamentally.
Operator: Okay. Thank you, John. Okay. Here, we have a concerned investor. We have great assets for future earnings. But right now, we are still burning cash. So why are we already paying out more cash to pay dividends.
David Garofalo: Well, in fact, we're in a position where we're tipping into positive free cash flow over the coming years given our growth -- compounded annual growth rate in revenue. And again, our fixed -- our cost base remains fixed. So we're likely entering to position our free cash flow in the very short-term. And as I said, that gives us the potential to increase the dividend over time because every incremental dollar revenue goes to the bottom line given the fixed nature of our cost base.
Operator: Thank you. Agnico and Yamana have focused exploration results on East and Odyssey South. Odyssey North and East Malartic have not been mentioned recently. Can you comment on the latest results and what that means for our portion of the royalties there?
Unidentified Company Representative: I mean, I think that the comments that I made around the progress at Odyssey is all very constructive. In fact, I think production is actually ahead of schedule. And we've got an existing resource that's going to support a mine life multi-decade mine life.  So expansion of that resource at this point is really going to extend that mine life many years beyond where we think it currently is and not really going to impact the near-term production profile of Odyssey but we're -- as I said, I really want to emphasize that progress -- the partnership is making great progress. We're really thrilled with how things are developing. And we don't see any real material change in the near-term.
David Garofalo: The one thing I would add from personal experience, having built and operated mines in that very district when I was working with Agnico and before that with [indiscernible] is that as you open up these deposits underground for production, you also open them up for exploration. You get better drill setups. All the drilling up to this point has been limited to surface drilling, and that obviously limits the depth potential of resource expansions. As we get underground, the infrastructure serves 2 purposes. One is to open up mining stopes for production but also open up areas if we can -- or they can set up drill setups in order to start to aggressively drill at depth and add ounces to the areas that are under our royalty coverage over the coming months and years.
Operator: Thank you, David. Now we have a question on producing royalties. You mentioned you have 8 producing royalties, and we'll have 12 producing royalties by 2024. Can you tell us which royalties those are?
David Garofalo: Yes. I think I did mention it in the comments, but I'll just repeat. So the current 8 producing royalties, we've got the Canadian Malartic open pit. We've got 2 on Jerritt Canyon, an NSR and a PTR and we've got 1 on the Beaufor mine, which is an NSR and 1 on the Beaufor Mill, which is a per ton royalty -- we've got Borden, NSR, NSR Isabella Pearl and NSR on Marigold.  In the next 4 assets that are due to come online by 2024 would be Odyssey, the underground expansion of Canadian Malartic, Cote Lake, IAMGOLD project that we discussed. South Railroad which was recently acquired by . And then Gold Rock recently acquired by Calibre.
Operator: And again, here's another question on royalties. I don't know if you have this information at your fingertips, but what is the estimated NAV of the a 8 producing mines and b, the 20 mines in development stage.
David Garofalo: So if you look at our overall net asset value on a consensus basis, we're trading somewhere around 0.5x, 0.6x net asset value, which would indicate that the analysts who cover us and they're now for -- or estimating their net asset value somewhere on average between $5 and $6 per share.
Operator: Okay. Excellent. All right. Where do you see Gold Royalty in the next 5 years?
David Garofalo: Well, ultimately, our vision is to create a mid-tier company where none exists currently. We see the category killers in our space, Franco-Nevada, Wheaton Precious Metals and Royal Gold are all very, very large companies treating the premium multiples of 2x to 3x net asset value. What there isn't, is that mid-tier company of about $5 billion market cap that is big enough to matter to large-scale institutional and generalist investors, but small enough to grow meaningfully.  You can imagine how difficult it is for the large -- 3 large companies to grow meaningfully given how big they already are, it's hard to imagine them going up 2x to 3x, whereas it's easier to imagine a company of our scale, trading about $400 million market cap, 0.5x [indiscernible] increasing 4 or 5 or even tenfold with a few judicious acquisitions, accretive acquisitions, and with a bit of momentum in the gold price.  So there's a lot more torque in our companies, particularly if we're able to achieve scale in a meaningful way to attract that generalist money into the name to continue to enhance what's already a very liquid company.
Operator: Thank you, David. Now a question about EPS. This, hopefully, shareholder writes in. Excellent results, David. My question is about the negative EPS and the share price. Do you have any strategy focusing on pushing up the current share price of the company?
David Garofalo: So I do think that we're going to be meaningfully positive in earnings going forward as we start to crystallize that revenue growth because as I said, the cost structure is very, very fixed, full-time equivalent employees whereas the revenue is likely to contribute to the bottom line dollar for dollar as it grows over the next little while given the fixed cost nature of that. And our earnings per share number on a normalized basis was $0.02 loss in last quarter and that was down considerably from the prior year quarter as our revenue growth is kicking in. So we'll continue to see that trend going forward, we believe as that revenue is crystallized with a number of these development stage assets coming into production over the coming months and years.
Operator: Thank you, David. We're going to start to wrap up, so we have room for just one or two more questions. The next question is, do you think the proposed Russian World standard will become a successful alternative to the manipulated LBMA so that gold will be priced more realistically worldwide.
David Garofalo: Well, I can't say I'm knowledgeable, but that's specific , but what I would say is that there's been a number of currencies that have been introduced into the global economy over the last decade or so, including cryptocurrencies to capture the imagination of investors to capture capital. And I would say what all of them lack is scarcity. The finite nature of gold is really what is underpinned as the currency of choice in the ultimate currency for 4,000 years. It's very difficult to mine. It's very difficult to produce. It's mother nature's currency.  So it's very, very regulated in terms of the supply, given the scarcity in the earth's crust. So I would say what gold has the others lack is that scarcity. And we've seen time and again when fiat currencies are introduced, whether they're crypto in nature or whether they're traditional fiat currencies, there's always the temptation of the arbiters of those currencies to expand supply and that's happened time and again. And ultimately, every fiat currency in the history of time has failed, whereas gold has not.
Operator: Thank you, David. And that wraps up today's town hall forum. Thank you, everyone, for joining in. David and John, if you'd like to say a few parting words to your shareholders that have dialed in. We have quite a large audience today of 128 people listening to you right now. So perhaps you'd like to say a few words before we really wrap up.
Unidentified Company Representative: Well, all I'd like to say is thank you for your time. We made a commitment to you when we IPO-ed back in March of 2021 to grow on an accretive basis, and we've delivered on that consistently and through our acquisitions on the M&A side through the acquisition of royalties through the origination of royalties from the ground up on a very cost-effective basis, we've grown from 14 to 198 royalties and we've increased our revenue dramatically.  We have the sector-leading growth profile of revenue going forward. So we're delivering our commitments to you. And ultimately, the market will start to reflect that in our share price. And I appreciate your patience.  We're also paying you to stay and be patient with us with over a 1% yield while you're waiting for that revenue to kick in for the market to realize the intrinsic value of our business, we're paying you to hold on to shareholders and for us to hold on to shareholders as one of the fine shareholders in the company, I tap a meaningful amount of my personal capital in this company.  I truly believe in what we're doing and that you have my full-time commitment to continue to deliver on that value and have that reflected in the marketplace over time. Thank you, again, for your attention today.
Operator: Thank you, John. And I'd like to remind everyone to please fill out the questionnaire before you leave. Again, the questionnaire is crucial for Gold Royalty as it does help us with investor communications. Thank you again for joining us today. Have a great day, everyone.